Operator: Ladies and gentlemen, thank you for standing by and welcome to the SS&C Technologies Fourth Quarter and Full Year Earnings Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session.  Please be advised that today's conference is being recorded. 
Justine Stone: Hi, everyone. Welcome and thank you for joining us for our fourth quarter and full year 2020 earnings call. I'm Justine Stone, Investor Relations for SS&C Technologies. With me today is Bill Stone, Chairman and Chief Executive Officer; Rahul Kanwar, President and Chief Operating Officer; and Patrick Pedonti, our Chief Financial Officer. Before we get started, we need to review the Safe Harbor statement. Please note that various remarks we make today about future expectations, plans and prospects, including the financial outlook we provide, constitute forward-looking statements for purposes of Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements, as a result of various important factors, including those discussed in the Risk Factors section of our most recent Annual Report on Form 10-K which is on file with the SEC and can also be accessed on our website. These forward-looking statements represent our expectations only as of today, February 10th, 2021. While the Company may elect to update these forward-looking statements, it specifically disclaims any obligation to do so. During today's call, we will be referring to certain non-GAAP financial measures. A reconciliation of these non-GAAP financial measures to comparable GAAP financial measures is included in today's earnings release, which is located in the Investor Relations section of our website at www.ssctech.com. I will now turn the call over to Bill.
Bill Stone: Thanks, Justine. And thanks everyone for joining. Our results for the fourth quarter were $1.206 billion. In adjusted revenue, it's down 0.5% and $1.13 in adjusted diluted earnings per share, which is up almost 5%. For the full year, we had $4.681 billion in adjusted revenue, up 0.3% and $4.30 of adjusted diluted earnings per share, up 12.3%. Our adjusted consolidated EBITDA was $475.8 million for the fourth quarter and our adjusted consolidated EBITDA margin was 39.4%. Our Q4 adjusted organic revenue was down 2% and for full year or 2020 organic revenue was down 0.5%. As expected, we had weakness in our large license software business in the fourth quarter. But our alternatives business are interlinked in our ads business grew nicely and the DST business saw improvement from the previous quarter. Operating cash flow was one $1.84.7 million -- $1.1847 billion for the 12 months ended December 31st, 2020, up 10% if you exclude the one-time $250 million upfront license payment paid in the second half of 2019. $1,184.7 million represents a 103% cash conversion rate on our adjusted net income of $1,146.8 billion.
Rahul Kanwar: Thanks, Bill. As you noted, we had a strong quarter with a broad-based lift in revenue from Q3, across many of our business lines. DST, SS&C Health, the Alternatives, Intralinks, Regulatory and Algorithmics, all posted improved performance in Q4. Our Alternatives business grew 5.5% in Q4 and 5.7% for the year. Clients remain optimistic about their growth outlook, which is reflected in our data, including the Capital Movement and other indices we publish. Bill mentioned the rapid adoption of Eze Eclipse in his earlier comments and in Q4, we launched the Eze app powered by Eclipse and made it available in iOS and Android app stores in November. User adoption and design collaboration for the apps' next phase have been strong.
Patrick Pedonti: Thank you. Results for the fourth quarter were GAAP revenues of $1,203.4 million. GAAP net income was $197.1 million and diluted EPS of $0.74. On an adjusted basis, revenues were $1,206.1 million, including the impact of the adoption of the revenue standard 606 and acquired deferred revenue adjustments for acquisitions. Adjusted revenue was down 0.5%, adjusted operating income decreased 2.4% and adjusted diluted EPS was $1.13, a 4.6% increase over Q4 2019. Adjusted revenue decreased $6.1 million or 0.5% over Q4 '19. Our acquisitions contributed $27.4 million, foreign exchange had a favorable impact of $6 million or 0.5% in the quarter. Adjusted organic revenue decline on a constant currency basis, was 2% driven by weakness in the Advent, Institutional, Software Products and DST Financial Services. These were offset by strength in Fund Administration, Intralinks and the Eze business. And we had strong sequential growth in the DST Financial Services and Healthcare businesses over the third quarter. Adjusted operating income for the fourth quarter was $458.8 million, a decline of $12.2 million or 2.4% from the fourth quarter 2019. Foreign exchange had a negative impact of $3.5 million on expenses in the quarter. Adjusted operating margins were 38.8%, compared to 38.0% in 2019. The expenses were driven by higher employee compensation and benefits, higher sales commissions and professional services and these expenses were partially offset by lower travel and contractor expenses. Adjusted EBITDA defined in Note 3 of our earnings release, was $475.8 million, or 39.4% of adjusted revenue. Net interest expense for the fourth quarter was $53.3 million and includes $3.4 million of non-cash amortized financing costs and OID. The average rate in the quarter for our amended credit facility and our senior notes was 2.99%, compared to 4.53% in the fourth quarter of 2019 and resulted in an interest expense decrease of $47.2 million or 47%. We recorded a GAAP tax provision of $37.7 million or, 16.1% of pre-tax income. Adjusted net income as defined in Note 4 of our earnings release, was $302.6 million and adjusted diluted EPS was $1.13. The effective tax rate used for adjusted net income was 26%. Diluted shares increased to $268.1 million from $266.7 million in Q3. The impact of the increase in the average share price and option exercises, was partially offset by share repurchases in the quarter. Our balance sheet and cash flow as of December 31st, we had approximately $29.3 million in cash and cash equivalents and approximately $6.5 billion of gross debt for a net debt position of approximately $6.3 billion.
Operator: Excuse me, I think Mr. Bill got disconnected, but he is reconnecting now.
Patrick Pedonti: Okay, thank you.
Operator: Excuse me, Mr. Bill Stone is reconnected.
Bill Stone: Sorry about that. Thanks, Patrick.
Patrick Pedonti: Thank you.
Bill Stone: We continue to operate in the global pandemic. 99% of our global workforce is still remote and business travel and in-person sales meetings are essentially non-existent. Over the past 11 months, we have learned how to operate under these circumstances. Utilizing video conferencing, web-based marketing and promoting the power of our business model and reliability of our people and technology. As you can tell from this call, we are optimistic. We believe our performance during this pandemic will pay dividends well into the future -- well into the future. We will now open it up for questions.
Operator: Thank you, Presenters.  We'll pause for just a moment to compile the Q&A roster. Our first question comes from the line of David Togut from Evercore ICE. Your line is open.
David Togut: Thank you. Good afternoon. Could you comment on fourth quarter 2020 total organic revenue growth, quantify please? And then, if you could break down organic revenue growth for the fourth quarter by Fund Administration, Intralinks and CST?
Bill Stone: For the fourth quarter, total -- total adjusted organic growth was down 2%. The Alternatives Fund Administration business was up 5.5% and DST, we can provide you kind of a breakout between the two groups. The Financial Services group was down 1.1% and the Healthcare group was up 3.1%. I think that combined to be down 0.3% for the full year. And Intralinks was up 3.8%
David Togut: Got it. Thanks for that. And just as my follow-up, could you comment on your acquisition pipeline and appetite to acquire in the year ahead, based on the quality of the pipeline and valuations that you see?
Bill Stone: Well, we constantly look at -- at acquisitions and we're disciplined about it. Obviously, we deployed $8.3 billion in 2018 and that bought DST as and Intralinks. We spent, I think a about $138 million in 2020, which was less than we would have expected, but -- but we looked at lots of things and obviously in the public domain, you know that we looked at Link Administration down in Australia. So, we're disciplined about it and we're quite aware that all the questions that we get on -- on the conference calls and from our shareholders, are organic revenue growth or unit. So, we want to make sure that we focus on our organic revenue growth and as Rahul had detailed in his remarks, we've made lots of changes. All of our businesses are getting better. All of them. Because if they don't get better, we get different executives and that's how we operate. So, we're very optimistic about where we're going, about generating tons of cash, paying down a bunch of debt, looking at great acquisitions and earning more money for our shareholders and then deciding how we're going to allocate our capital, whether that's going to be on acquisitions, which is generally our first choice. But we also like to pay down debt and we also like to evaluate buying back our shares. So, I don't think our -- our business plan, our strategy has changed. I believe that what we're doing is executing and I think that's what we'll continue. So, there is a lot of stuff for sale, and you see stuff getting -- getting purchased all time. And the question becomes, is this -- is that strategic for us. Will it drive our organic revenue growth and what is it going to do over the long term. So, those are the criteria that we have and I think we will probably buy some things in 2021, but as usual, we'll be disciplined about it and we are going into 2021 with some optimism.
David Togut: Understood. Thank you very much.
Operator: Our next question comes from the line of Andrew Schmidt from Citi. Your line is open.
Andrew Schmidt: Hey guys, thanks for taking my questions here. I wanted to touch on the sales cycle briefly. I know you mentioned in your revenue assumptions, you expect customer appetite and buying behavior to improve throughout the year, but I'm wondering what you're seeing more recently as we -- we're heading into 2021. Are you seeing customer behavior and buying patterns, improve. Obviously, you're still in a large remote environment, but just curious what you're seeing from a sales cycle perspective, especially as it pertains to large deals?
Bill Stone: I'll give that a quick shot and then Rahul can comment. But, we have a pretty full pipeline. We have large deals, we have what we believe are -- are a number of large deals that we hope to close this quarter. We have a very reasonable January and I believe that we will continue to execute and we're seeing some strength across our different businesses. I think our indicators that we have in Intralinks are all as strong as they've ever been. I think we have a pipeline and gaining rhythm we've ever had and some services, the hedge fund industry has proven to be quite resilient and I think will continue to be, as more and more private assets become the most attractive place to put money, whether that's private equity or private credit or real estate. I think that SS&C is well positioned to do well there. And I think that the DST business is getting stronger. Our Retirements business grew very nicely in Q4 and we expect it to grow very nicely throughout 2021. We have some challenges in our Healthcare business, but, Daniel DelMastro and his team are doing a good job and they are very focused. And so, with that I'll let Rahul take a crack.
Rahul Kanwar: You know, I think the thing that I would add is, as time has passed in this pandemic -- pandemic, we have gotten more comfortable and our customers as prospects have gotten more comfortable, transacting over digital and virtual and we always had an element of that. But obviously, we've had to rely on it a lot more. So, we've seen our yield for virtual events and all the things that we do to get the pipeline go up pretty substantially. And we've also seen contract signings and things like that, which we're certainly slow at the start of this process, pick back up. So, we feel pretty good about the current state, it's better than it was three months ago and we think it's going to keep getting better throughout the course of the year.
Andrew Schmidt: That's great. Good to hear about the improvement, especially in the DST side. Maybe to cab on to that, when you think about the FY '21 organic growth outlook, this year with a 4%, what are the three -- what are the primary things that drive sort of the bottom and the top end and then within that, what are the assumptions for DST, as the year progresses? Any color there would be helpful.
Bill Stone: No, again, right. The -- the when you, when -- when you're selling $20 million to $50 million deals for a year or $10 million to $25 million deals for the -- for the year, multi-year deals, if we win them, we will be at that 4% and if we don't win them, we will be closer to that 0%. But we're confident that we are going to win a lot more than we lose, we're going to continue to perform. The feedback from our clients has been tremendous, based on -- on the work that our entire staff is put in and the attention to detail that we have delivered. In places like Advent and others, that do Net Promoter Scores, highest it's ever been, customer satisfaction, as we track is very high. And our retention rates, will stick at 96% or so. And so I think that we have a lot of optimism that we can perform, you know we got to win. You got to throw passes, somebody has got to catch them and they got to go across goal line. I mean, that's the nature of the beast. And I don't know if Rahul, you would have anything else to add to that.
Rahul Kanwar: Just I guess on the second part of that, on DST in particular. So, to talk about the pieces that DST separately. The DST Financial Services business, which is really everything except Health, we're expecting to see low single-digit type growth, that's kind of what's been so at the midpoint, maybe something like 3.5% or something like that, and the Health business, as Bill mentioned, we do have some challenges, and we're still dealing with some COVID impacts and we expect that to be flat to slightly down for the year.
Andrew Schmidt: Got it. That's good context. Very helpful, guys. I appreciate it, thanks.
Operator: Our next question comes from the line of Alex Kramm from UBS. Your line is open.
Alex Kramm: Yeah, hi, good evening, everyone. Can you talk about the cost structure in the margin a little bit, if I -- if I look at the guidance correctly here, it looks like continued margin expansion. So, any more details there? But, but more importantly, it's just operating leverage or is it still a lot of efficiency gains that you're getting? I know you've been doing a lot of that. So just wondering, where you are still finding opportunities to I guess cut, if that's what's happening?
Bill Stone: Well, I think, Alex, we would say that we manage, we cut where we have to, and you know, but we have a large workforce, we have almost 25,000 people. And there is opportunities everywhere, right and we have to get more efficient. And if you get you know 5% efficiency, then on 25,000 people, that's 1200 people I think, right. So, we need to drive revenue in order to be able to continue to grow our workforce and continue to -- to increase our margins, and so that's what everyone at SS&C is focused on and -- and we manage it. We manage it every week. Also, we picked places that we want to put our -- our resources in, I think we spent $600 million between -- between R&D and capitalized software and $140 million or so in acquisitions we did. So, we're investing back in our business, and we think that there is tremendous opportunity for us and we think we have some very large competitors, but that just aren't going to be able to keep up. We think, over 2021 goals, in 2022, we are going to continue to execute on a much higher level than our competitors.
Alex Kramm: Okay, great. And then secondly, quick one, I think the buybacks were pretty soft in the fourth quarter, is that just because you were looking at deals and maybe also your cash balance is fairly low I think, so. So just have to step back or -- or where do they come from? And what's your expectations for 2021? I mean you accelerated nicely in 2020, so that's still pretty focused on repurchases all else equal?
Bill Stone: Well, again, we try to allocate our capital as best we can. And obviously, we think -- we think our stock is -- is certainly not overvalued. So, we look at that somewhat fondly, but it's not our first choice. You know and even as we buy any, if we buy more than we did in 2020, it would not surprise me, but I don't believe that we will probably spend more than we pay down debt. So obviously, if we do acquisitions, the interest rates stay where they are, we'll probably use a lot of debt on acquisitions. So, we generate a ton of cash, we generated a ton of cash in January, we'll generate ton of cash throughout the year. And we hopefully, we'll use it wisely for the best-in-class .
Alex Kramm: Makes sense. Thank you.
Operator: Our next question comes from the line of Brad Zelnick from Credit Suisse. Your line is open.
Brad Zelnick: Great, thank you so much for taking my questions. My first is for Bill. Bill, I'm wondering if you have any perspective on the higher trading volumes and volatility related to retail flows in the equity markets and how, if at all in any way, they have impacted parts of your business, maybe the health of fund admin clients or anything else worth noting? And Bill, I know you've been around long enough to see just about everything, curios if you have any perspective on this force in the market. And if in any way it's an opportunity for SS&C?
Bill Stone: Well I've -- You know, me and Moses have been around for quite a while, Brad, as you well know. So, if -- as I look back on my 400 years in the business, Yeah, you know these things happen, right. They get -- they get to be bubbles and when you start taking technology and spreading it around the world and then allow people to collaborate, as always, you know it's difficult for the regulators to be able to manage all of the various schemes, so to speak, that people can deploy to drive up stocks or drive down stocks. And so I think -- I think the regulators will catch up and I think that this will be another thing that isn't much different than in year 2000 and how many eyeballs are looking at your screen, since. And so, I think that the drive up on some of these very well-known -- very well-known stocks, I think is probably a little bit a bubble, maybe more than a little bit, but I don't know about where we would step and how it is as an advantage for us, other than our Regulatory Services business that can help our clients see insight into that and then our Algorithmics business where we have an awful lot of quarks that are constantly looking at this stuff, so we can give our clients insights into what's happening and I think that can be very valuable.
Brad Zelnick: Thank you, Bill. Makes perfect sense to me. I appreciate the thoughtful answer. Maybe for Rahul. Rahul in your prepared remarks you talked about a comprehensive solutions program under Eamonn Greaves, combining products and services. Just curious, what prompted this now, what's the opportunity really and with total respect, it sounds obvious. So, why wasn't this something you were already doing?
Rahul Kanwar: So, about a year ago and it's the end of fourth quarter of 2019, we put Eamonn in-charge of Global Sales. And his mandate was really to help us collaborate more effectively and more than collaborate, integrate, right. So that, if you could see a customer and a customer is a bank or an insurance company or a hedge fund manager, we're bringing together different parts of the organization and offering that comprehensive solution and the more we can do of that, the more strategic become for them, the more likely it is to buy bigger, right. So, just remember that we, as Bill pointed out, we bought DST as an Intralinks in 2018 and we're trying to sell things that work together. Right. So, it takes some time to integrate them, it takes some time to get the user interfaces and the functionality that they want and we feel like we're in a good place with that product offering, we're putting the right focus behind the sales and marketing of that, was the right move. So, I think where -- for what I think, things we've done all along, but we're off to a good start.
Brad Zelnick: Makes sense. Thank you, guys.
Operator: Our next question comes from the line of Ashish Sabadra from Deutsche Bank. Your line is open.
Ashish Sabadra: Thanks for taking my question. Rahul, I just wanted to go back to a comment that you made on the DST. If I heard you right, the DST Financial could potentially grow 3.5% this year, in fiscal '21 at the midpoint. I just want to confirm if I heard that right. And then maybe just a question on that one is, obviously, that's pretty strong compared to the DST financial growth profile historically, what's really driving that strength, is that the new, -- there a couple of large deals that we won last year. Are those -- is the implementation really driving it? And then if you can maybe provide any incremental color within DST financial, where are you seeing pockets of strength or pockets of strong demand, any color will be helpful. Thanks.
Rahul Kanwar: Sure. So, we have at the midpoint, approximately 3.5% or so, organic growth. The Retirement business, where we've talked about a number of large deals and done some press releases on them, is clearly one of the bright spots. We're also seen good strength in our UK-based Wealth and Insurance Services business and really across all of DST. We've been working hard for since 2018 really, focused on the sales efforts there, focused on the product development efforts there, focused on digital and web portals and different ways in which our end customers can interact with their clients, and that's what they deem most valuable, we're starting to see some signs that the work we've done is paying off, and we're pretty bullish on what might happen with that business, not just in 2021, but beyond.
Ashish Sabadra: That's great, very helpful color. And maybe just a quick question on pricing in the Alternatives Fund Admin side, there was a pricing increase back in end of 2018 -- sorry, end of 2019 or early 2020. Are there opportunities for more annual price increases going forward, any thoughts on '21? Thanks.
Rahul Kanwar: So, we're doing and I think we said this last year, we really try to set this up as a price conversation that was going to happen once a year. Right. And it's been reasonable increases, that I think our customers, well nobody welcomes them, they understand where we're coming from. We're working our way through that process right now and it's going pretty well and we do expect it to have a positive impact on Alternatives, but really across our business.
Ashish Sabadra: That's very helpful. Thanks and great and good quarter. Thank you.
Operator: Our next question comes from the line of Mayank Tandon from Needham. Your line is open.
Mayank Tandon: Thank you. Good evening. Bill, just wanted to get a sense from you or maybe Rahul can chime in too. How should we think about the growth within the installed base, i.e., land and expand versus contribution from new logos? Have you got back to some level of normalcy in terms of organic trends across your portfolio of solutions?
Bill Stone: Mayank, such a very good question and it really is kind of at the core of what we're doing. We bought DST and closed in April of 2018. In 2020, DST clients represented 75 of our top 100 clients. And they're all the largest investment organizations in the world. And there are tremendous opportunity, right. But, there's a lot of work to do with DST and we've done a lot of work. You know, we've doubled EBITDA, I know it doesn't matter because -- it doesn't matter because our organic growth would go up, but our earnings won't weigh up, our cash wont weigh up, cash flow wont weigh up and -- and it gave us tremendous opportunity to drill into all of those great big clients and start showing them all of our opportunities. Algorithmics is a treasure trove of expertise, with a worldwide business. So, we have opportunities to go into these large organizations. And I think we just did a million-dollar deal with one of our clients on our new Blue Sky portal, you know and that makes it so easy for our clients to be able to comply with all the regulations in all 50 states, you know and it's a pain in the neck. The more things that we can take away from our clients that are a pain to them, the larger our land and expand process goes. And that's why we've put Eamonn in-charge. I think several others of our top sales executives are also now drilling into all of our different opportunities that our client base -- our 18,000 clients. But you know you can't go into a place as large as DST and start just swinging a sledge hammer, you got to go in there, you got to understand and you've got to be willing to except the slings and arrows of low Street for a while, but there is no way we'd be at without -- without those three acquisitions and guys like Mike Sleightholme and Kevin Rafferty and John Tevoy and Danny Domasco and Tory Dorigatti and a whole bunch of other people like at DST, have done a great job and I think that those people understand, that SS&C likes beyond the gas pedal and this break stuff is not in our DNA. But you know, they had a lot of breaks -- lots of breaks, so we had to break those breaks and on the gas pedal, but remember, it's $2 billion in revenue. $2 billion, now that it starts growing, that's going to really put some wind in our sails and allow us, if we execute, and I believe we are executing, it's going to get better and better and best and that's why you see the changes we've made, the bundling of our products and you know the -- the improved outlook that we have, because of all the work we've done. When a stone cutter swings that axe at a piece of granite, it doesn't crack the first time, it might crack the 100th time. But something tells me, those 99 swings he made before or she made, before it cracked, had an impact on it cracking. And that's the same thing we've done. We know it's granite, we know we've got to swing, we know we got to stay focused, we know we got to push, that's not easy for everybody. That's what we do. That's how we manage. That's how we generate cash flow. That's how we generate earnings. And it used to be earnings and cash flow, were really important, now, it's kind of important, but they're not as important as organic revenue growth, but we did the things we think were necessary in order to set the platform to get organic revenue.
Mayank Tandon: Great, that's very helpful perspective. Thank you for that. And, if I can just follow-up, briefly, has the pandemic and the effect of that, flushed out some of the competition in the fragmented portions of your markets? In other words, are you now even stronger in some of the segments where you might have had more competition from some of the startups and smaller players that are not as well funded?
Bill Stone: Well, I think actually I think we're going to do better against the larger ones. The biggest ones. I think the use of third parties in India has not been very effective for an awful lot of very large places and we use our own people, almost 100% and it's taken us a year, two years, 2.5 years, to bring the whole thing under two, but -- but we had I think 1600 - 1800 contractors from Syntel that worked for DST, that we've now completely re-badged. They now work for us, right. And we have less and less outsider's inside SS&C and we operate better, when we're in charge of people's raises, peoples' bonuses, peoples' promotions, people's careers and that's been a really big -- a really big help for our -- for our business. And Sunil over in India has done a great job for us and I think we're going to continue to -- to execute. And I think we're going to continue to -- to surprise positively. And Rahul, what do you think?
Rahul Kanwar: Well, I would just -- coming back to what you said about customer satisfaction and net promoter scores, we -- we've seen really levels of accolades from our customers throughout the, both large and small customers. And we do think that this has been a disruptive time for many in the marketplace. So, relatively placed, we're getting stronger on an absolute basis but also relative to others, equal or may be well positioned going forward.
Mayank Tandon: Great, thank you so much.
Operator: Our next question comes from the line of Jackson Ader from JP Morgan. Your line is open.
Jackson Ader: Great, thanks for taking my questions guys. Bill, the first one for you on main reasons you win and lose, you're talking about big at the high end or low end of the guidance range just depends on whether you actually went on these deals or not. And I'm curious, the reason that you win and the reasons that you lose, have they changed over the last -- over the last couple of years? Just curious on your thoughts?
Bill Stone: Well, I think -- I think you know for a number of the businesses that we inherited with DST, they hadn't had a win in a number of years, right. So, changing that entire attitude, you've got to believe you can win, if you're going to win, right. So, your prospects are known immediately, if you're not confident. So, knocking that insecurity out of people is not easy, it's not comfortable for people. But that's who we are. You know, let's get at it. You know, since we've built software and whether that's a fraud, waste, and abuse app, that we built for -- for SS&C Health or whether that's the improvements that we've made to the -- to the -- the transfer agency business that's a large business for us or what we've done in the Retirement business. So first, you have to have a superior product, then you have to have a very trained workforce, right, so that they can implement and you have to have a knowledgeable marketing team that can market it and you have to have a great sales force, so as I've said many times, right, we -- we need a sales team every week, some of these prices we bought didn't meet accept every month. So, there is a big difference in -- in the culture and in the drive and you know and again, you have to recognize that we did $1.184 billion in cash flow in 2020. In 2017, we did about 400 million, so we've tripled our cash flow and again, that's a very positive thing, it gives us lots of resources to invest in training and education and more technology. We've hired some great people that have done some great work for us. You know, Anthony Caiafa, John Bellone, Jason White, all kinds of people who have done just a great jobs for us and I think that's going to continue, because they like winning. They get paid more when they win, right. So, I think that's been the major drive, the major reasons why we win, is it's more organized, Eamonn is doing a great job getting it more organized than it was. And -- and we're competitive and we're not going to just sit back and not go after our competitors' clients, directly, you know and they don't like it, so, that's fine. That's the nature of competition.
Jackson Ader: Great. Yeah, I appreciate the thoughts. What about the Link asset? What did you find really attractive about it and what are some of the main, main reasons that you kind of went through there?
Bill Stone: Well, I mean it's, I think it's a good business. So, we really like Australia as a market. We have done very well in Canada and we feel like we can replicate that in Australia, and we've got a nice business in Australia and we want to have a bigger outsourcing business in Australia and Link would have fit that bill. But there's a lot of work to do on Link and I believe that Link started their process, but we -- we have a lot of work on DST. We have lots of positive momentum as you know on this call and we didn't really want to, you know have another situation where I got to tell you guys, could just turn it over to -- your cage you know and so we decided that that really didn't fit with what we wanted to do and so and so we were through, it's still a good company. I think they will do fine but -- but it wasn't something that we wanted to -- we wanted to tackle right now.
Jackson Ader: Okay, great. That makes sense. Thank you.
Operator: Our next question comes from the line of Peter Heckmann from DA Davidson. Your line is open.
Peter Heckmann: Thank you and good afternoon everyone. Just one maintenance question. I didn't hear you mention the pending Capita acquisition, is that deal still pending or has it closed?
Bill Stone: It is still pending.
Patrick Pedonti: I think it's good for us though.
Peter Heckmann: But it's not dead, at least theoretically. Are you still pursuing the close?
Bill Stone: Yeah, we had one -- one large client at Capita that was not going to fit in quick with that acquisition and they had to find alternative. But we believe that has been rectified and we would expect -- expect it to close in the next 60 - 90 days and, but we have expected that a couple of times in the past. So -- So we want to -- we want to make sure, it's not that big of an acquisition anyway.
Peter Heckmann: Right, right. Okay and then just in terms when we're looking out over the next couple of years, could you identify any pending regulations, kind of like a see saw whether it's in the US or globally, that you think can serve as demand drivers for -- for spend or upgrade activity, anything out there that we should be monitoring?
Bill Stone: Well, I mean obviously you have a new, a new administration in United States and it's going to be much more active in Financial Services. I'm going to view Financial Services as a -- as a money pot for taxes and so going to be regulation and no different than Form PF and other things that came out in the 2012 - 2014 timeframe. And so we would expect that it's going to be, I'm guessing it will be pretty similar from what it was 2008 - 2016 and -- and there will be, there will be opportunities to help our clients meet those new regulations, those new tax requirements in as cost effective way as possible.
Peter Heckmann: Got it, got it. Okay. If I could just sneak in one more. There was a joint venture announced by a number of Financial Services companies, Day 3, PIMCO, Man Group and it looked like they were going to be focusing on business process outsourcing for the fund industry. Is that something that's on your radar? And do you think that will be something that would be potentially competing with any operations of SS&C or perhaps DST?
Bill Stone: Well, I think those are large sophisticated RF companies with a lot of great people and -- and I guess is there is probably a little bit of politics in every one of those places. So, when they all get together, might be like the United Nations. So -- so we'll have to see what happens with -- what happens with that. We're well aware, but we're also executing on our plan and now, hopefully, we'll see them in our rear view mirror.
Peter Heckmann: Fair enough. I appreciate it, Bill. Thanks.
Operator:  Our next question comes from the line of Michael Young from Truist Securities. Your line is open.
Michael Young: Hey, thanks for the question. I wanted to just kind of ask maybe high level, coming from 2020 which was heavily impacted pandemic year, to some hopes of reopening this year, could you just maybe give some color on the conversations with clients and how they've trended and could there be sort of a backlog of activity as people kind of refocus on operating core businesses in 2021? Just any color on that would be helpful.
Bill Stone: Well, I think you know as you well know, right, when you have a crisis such as this, the rapidity of change probably goes up tenfold, so companies that would have never believed they could operate from a remote, now operate from remote. And I think that it's going to change part of them. So how we all execute on our strategy use and how we deploy our greatest asset, obviously is our people and keeping them safe is paramount. There is going to be a lot of things that are going to be important that we -- that we focus on and -- and I think obviously you guys are our recent merger of two large banking organizations and my guess is that, there's a lot of change going on at Truist. And you have a no major acquisition during pandemic. So, there is added impetus to streamline your operations, making this as efficient as possible. Make sure you have redundancy, cyber security is a very big deal. And I think that we need to be cognizant of what is -- what is out there. And we need to be prudent, when we know, we need to act quickly, but being precipitous seems to me to be a poor strategy.
Michael Young: Okay. And my second question, I just wanted to follow up on a few of your comments, I think you've kind of highlighted, how the markets are more eager and revenue growth versus good stable cash flow businesses. Is there any desire with either your next M&A deal or just kind of how you're managing internally to try to ramp up the revenue growth piece of the business, as opposed to just cash flow?
Bill Stone: We're trying, I would tell you that our focus is probably -- we're not going to forget about cash. We're not going to forget about earnings, but our focus is on growing revenue. And anybody who has any conversations with me knows exactly what I'm talking about or any conversation with Patrick or any conversation with Rahul, or any conversation with Eamonn or Justine or anyone else in the company. Everybody knows, it's revenue. Now you can't pigeon hole everything, you got to make sure what its, you know, everybody admires Jeff Bezos and he is apparently didn't earn revenue growth. And it's admirable, but not everybody has -- has an Amazon business. So we need to be prudent, we're not going to go buy up 100,000, 200,000 square feet of office space in New York and London, in Paris and Frankfurt and other places, you know, because we think that would be a poor use of our -- of our cash and our -- you know, not that we don't have strong cash and not that we probably couldn't afford it. We probably could, but we're not Google, we don't have more money than most nations, we're going to be prudent, we're going to think and we're going to make sure our people are safe and they're not coming back into the offices and until -- until we can make sure that that environment is safe for them and -- and we're ready. So, I repeat, that's how we're trying to operate in a way we're very focused on revenue growth. It's a little more difficult, getting a large scale licenses when you don't get in person meetings, so, but we're working at it, we win some deals and we're win. And like I said, the Funds and Services business has been strong Intralinks has kind of very, very full pipeline and Ken Bisconti and Bob Petrocchi are doing a great job there and Petrocchi and -- are doing a great job there, and I think that our opportunities are greater than they've ever been. But those are opportunities to kind of catch the ball to go to the goal line.
Michael Young: Thank you.
Operator: Our next question comes from -- from the line of Chris Donat from Piper Sandler. Your line is open.
Christopher Donat: Good afternoon. Thanks for taking my question. Bill, I wanted to ask one question about the Redemption Indicator that we see for GlobeOp and that January was the lowest number on record since 2008. Do you think that's mostly market forces or is there anything changing in the competitive landscape that's keeping Redemptions from -- from leaving SS&C?
Bill Stone: I mean, I think that we have really blue chip roster of -- of funds. But that being said, it's probably a heavy, heavy dose of what's happening in the market. I mean if you look at, at the amount of assets going into private equity and real estate, private credit and hedge funds, I think you see that that people are starving for -- for return, starving for income and they're not finding it in corporate bonds or our government bonds for sure. So I think that -- that people redeem either when they have a life event like buying a house or our retiring or something or that they have an alternate place to put their money. And if they don't have an alternate place to put their money, they tend to stay intact. And I think the hedge fund industry in particular and the other ones, the real estate industry as well as investment industry as well as the private equity industry, has learned to communicate with their investors and that communication is paramount. And again, that's something that SS&C is very well positioned and able to help our customers communicate with their customers, with their investors. And I think that's another reason why the Redemption Indicator remained historically low.
Christopher Donat: Okay, thanks for that. And then, Patrick, one question about guidance and well for the fourth quarter you commented that there was less travel and less usage of contractors in the fourth quarter, are those two things that you would expect to stay low through the remainder of 2021? Or do you expect travel and contractor usage to increase kind of over the course of the years, as things get to some level of new normal?
Patrick Pedonti: Yeah. The contract reduction is through the fact that we moved the India contractors to in-house employees. So, that will not be a problem for 2021. And on travel, I think basically we've assumed that travel expenses won't be a heck of a lot different than Q1 and most of Q2 and then gradually start increasing in the third and fourth quarter, but not be back to pre-pandemic levels. So it's kind of the assumption we've made.
Christopher Donat: Got it. Thanks very much, Patrick.
Operator: Our next question comes from the line of James Faucette from Morgan Stanley. Your line is open
James Faucette: Hey, thanks. Just a couple of quick questions for me to follow up on previous questions and answers. First on DST, I think you made a comment around some incremental work or improvement on DST that you're working. I'm just wondering if you can touch on that, first of all.
Patrick Pedonti: Well, again, I'll take 30 seconds and then give it to Rahul. But we have made a lot of changes, like flight owners made a lot of changes. You know Nick Wright took over in at the end of June last year and he's done a great job for us. He's based in London. And Kevin Rafferty came in, and he's running our Retirement Solutions business. And he is doing it with John Eli and they're both doing a great, great job for us. We have a -- our focus on that business. So, we've made a number of changes, Danny, we talked about Danny DelMastro and Tori Dargati running on our Healthcare business and they bought it up to quite of increased level of focus and intensity and I believe that will pay off. Danny took over, I think maybe be September or maybe we might have in August last year and so we made a lot of changes and the sales forces is now reporting up through Eamonn as a global and Mike has taken Rob Stone and some other top sales executives that we have and slotted them into the DST business.  a bunch of others that are really top-flight people and know how we operate, how we prepare and how we show our wares to our various -- various prospects. Would you have anything else, Rahul?
Rahul Kanwar: Well, the only -- the only thing I would add is in addition to the sales focus and just overall more attention to the speed at which we execute and making sure that there is tangible things that we're trying to do and we're all marching and with some just some pace to it. We're also really focused on product development and innovation. So, a lot of our hires even below the senior executives that you've -- that we've mentioned, have been in folks that are bringing in new technologies, whether that's digital, which a lot of our clients are looking for or things we can do with artificial intelligence and machine learning, we've made an acquisition at Vidado there's others. So, we're giving that sales force more tools to be able to differentiate themselves from our competitors and that's helping.
James Faucette: Got it, got it. And then, I appreciate that. And then, Bill, you started off talking about acquisitions and discipline and look, clearly you've built and established an incredibly strong reputation of being able to find the right things at the right time and under the right circumstances, what kind of moves your guardrails, if you will, of discipline around and I guess I'm thinking about the current environment and maybe more generally, how you think this ultimately -- how the current environment ultimately plays out and what do you at SS&C, have to do to be prepared to take advantage of, when things do change and start to adjust?
Bill Stone: You know James, you know it -- again it, just have to do the work, right. I mean you have to have people find businesses that we can -- we can ultimately buy. We have -- have looked at making a number of different investments to get to know -- get to know businesses better and then -- then see if we can -- can help them grow and then -- and then ultimately acquire them. We have to stay close to the private equity industry. We have to stay close to large scale financial institutions that want to get rid of divisions or want a joint venture with us in ways that they can really improve their margin profile. So, there is a number of those kinds of things that I think are the -- are the path to very accretive acquisitions, that -- that drive revenue growth. But it's work, right. I mean it's looking at a lot of deals, it's having discipline about it. You know it's not -- not turning this into -- the focus isn't on our business, the focus is on what we could do to buy additional businesses. We have a lot of businesses. We have 18,000 clients. We have tremendous up-sell and cross-sell opportunities, right. We have tremendous development team, the housing, the developers right. We need to be able to build product, deliver product, market product, sell product, raise prices, right. We need to create this entire environment where we're the best, right. So when we went into Fund Administration in 2002, we didn't have a dollar in AUA. Now we have $2 trillion, it's the same thing, execute and then you can bring in places like at Eisner fast, where we get people like Rahul Kanwar, Rene Moody and Carl, Chris Madpak and a bunch of others, that add quality and capability and breadth and depth and you keep marching through and now that we're the largest as a Fund Administrator, both in hedge and private equity and we're moving up fast to real estate, Brigesh Maldiv  has done a great job and we just got a lot of great people and you know, there is also a lot of work to do with deploying $8.3 billion in 2018.
James Faucette: Thanks a lot, Bill. Thank you very much.
Operator: Our next question comes from the line of Surinder Thind from Jefferies. Your line is open.
Surinder Thind: Thanks for taking the question guys. Just following up on the comment about the focus around revenues and growth. Can you talk a little bit about maybe how pricing fits into that strategy in terms of how you think about it on an annual basis? And then if there is any impact that we should be thinking about from a COVID perspective this year in the sense that maybe there is clients that have asked you to hold off on pricing increases and any color you can provide there would be helpful.
Bill Stone: Rahul, you want that one?
Rahul Kanwar: Yeah. So, thus far, in the annual pricing conversations that we've had, it really hasn't been that different than it was last year and now this was a pretty new process for us, last year was the first time, but the conversations have gone well and there are, as I mentioned earlier, we are going to be reasonable and to the extent that we have a customer that has some constraints, obviously we're going to respect that and -- and try to make it work, to the satisfaction of both SS&C and that customer, but they've been going pretty well.
Surinder Thind: Got it. And then just a quick, I guess a modeling question, just can you remind us of the expected impact on revenues in 2021 for the DST clients that were terminated pre-acquisition?
Rahul Kanwar: It's -- it's $25 million for the full year.
Surinder Thind: Okay, thank you. Thanks guys.
Operator: No further questions at this time. I will now turn back the call over to Mr. Bill Stone.
Bill Stone: Thank you. Again, thanks everybody for -- for your thoughtful questions and -- and again, we're going to execute. And I look forward to talking to you in late April or early May. Thanks.
Operator: Thank you again for participating. This concludes today's conference call. You may now disconnect.